C.S. Venkatakrishnan: Good morning, everybody. This is my first earnings call as Chief Executive of Barclays. It's a great honor to follow three century long line of stewards of this company. While I'm new in this job, I have been at Barclays for a number of years. I was part of the management team that developed the strategy we set out in 2016 and delighted now that we are seeing the benefits of that strategy in the results which we are about to discuss. So moving to slide three. It has been a strong full year performance for the group. In 2016, we set out to build a bank capable of delivering double-digit returns through the cycle. Last year in 2021, we delivered a group return of tangible -- return on tangible equity of 13.4%. This included double-digit returns in all three of our major lines of business, Barclays U.K., the consumer cards and payments business and the Corporate and Investment Bank. The group also delivered a record profit before tax in 2021 of £8.4 billion. This profit included record levels of profitability in the CIB in our Corporate and Investment Bank, strong cost discipline, a net credit impairment release of around £650 million. And we acknowledge that the economic outlook turn remains uncertain, but this is reflected in the robust coverage ratios which we retain. We also remain well capitalized with a CET ratio of 15.1% at year-end and this performance has enabled us to announce the return of over £2.5 billion of excess capital to shareholders in respect of 2021. This is the equivalent of a total payout of £0.15 per share. The group has demonstrated significant progress since 2015. We delivered a greater than 10% RoTE in 2021 and the objective now is to sustain this performance, delivering double-digit returns on a consistent basis. Tushar will say more about this shortly on the factors that give us confidence in achieving this. We continue to focus on managing costs. Our cost-income ratio is 66%, down from over 80% in 2015. In part, this improvement was driven by lower litigation and conduct charges and a substantial portion of our material financial crisis-related legacy matters are behind us. It's also a result of strong cost control, evidenced by base costs remaining flat year-on-year at £12 billion. We will continue to emphasize cost discipline, creating efficiency savings, which we will use to invest for growth and to drive higher returns. We have also managed our capital resources prudently, steadily improving our CET1 ratio since the end of 2015. Our strong organic capital generation, including over 200 basis points from earnings, have enabled us to increase capital distributions to shareholders in 2021. Barclays remains in a strong capital position and distributions to shareholders remain a key priority for management and the Board. To that end, we were pleased to be able to announce a further buyback of up to £1 billion with our results today. This is in addition to the £500 million buyback which we announced with our interim results and supplements the £0.06 total dividend for 2021. We recognize that the economic environment remains uncertain. However, Barclays is relatively well positioned against this backdrop. We are materially geared to rising interest rates at both the short end and the long end of the yield curve. This means that we benefit from rises in the base rate, as well as the steepening of the yield curve via our structural interest rate hedge. We estimate that each 25 basis point upward parallel shifts to the yield curve would add about £500 million to annual net interest income by year three. In addition consumer spending levels in the U.K. and U.S. have been improving and this is a good lead indicator of interest-earning unsecured balance growth to come. Our latest spend trend data in the U.K. showed that debit and credit cost spend for January 2022 was up 7.4% versus January 2020 pre-pandemic. In the U.S., January 2022 purchases were broadly flat as January 2020 -- compared to January 2020, as the economy has continued to recover. Although, inflation is a tailwind to normal GDP, it is a headwind to cost. We have a number of active cost efficiency programs to maintain the impact of inflation – to mitigate the impact of inflation I should say, while continuing to invest for the medium term. At the same time, unemployment in the UK and US remains at low levels. Unsecured lending balances are reducing and the macroeconomic outlook appears to be improving. We expect this to mean that, the quarterly run rate for impairment is likely to be below pre-pandemic levels. These are positive signs, though we of course recognize that, a recovery is not assured. Our universal banking model is key to our strategy. We are a large consumer bank, managing an excellent credit card franchise, as well as the leading corporate bank and one of the largest global investment banks. Each is a successful business in its own right, but together, it comprised a resilient and balanced group. For instance in 2020 and 2021, we had strong profitability in the corporate and investment bank, helping us withstand the downturn in our consumer businesses. Now, as the broader economy continues to recover, we expect to see an improved performance in our consumer businesses, while sustaining the robust performance of the Corporate and Investment Bank. In order to grow the group, and to sustain returns above our target, we emphasize three priorities. I will outline these in the next few slides. Our priorities should enable us to take advantage of some of the long-term changes taking place in financial services. Digitization is one of the most important of these trends. Digitization continues to liberate finance. It provides our customers and clients, with cheaper and better products and services, a better user experience and a more seamless and efficient way of interaction. This is typified by the upward trend in the number of customers, who want to engage with us digitally. In the UK, our mobile banking customers continue to grow year-on-year. We now have over 10 million people registered on our app, with around 11,000 more added each week. At the same time, branch visits continue to fall. The pandemic has accelerated this transition. Within Wholesale Banking, we continue to observe growth in both the public and private global capital markets. And combining the total market capitalization of issued securities around the world, the value of equities and bonds outstanding has grown by over 50% in the last three years. But as these public markets have grown, so to have the private ones. Since 2018, the total assets under management in the private market have grown more than 60% from $6 trillion to $9.8 trillion. The largest private equity and private credit funds dominate these markets, and they are among our biggest clients. Finally, as our third priority, we recognize the scale of opportunity in climate-related financing. It is difficult to be precise about the magnitude of this opportunity, much as it would have been difficult to predict the value of the Internet revolution in the mid-1990s. Estimates of the additional investment required to finance the transition, are at least $3 trillion to $5 trillion every year for the next 30 years. This could be a new industrial revolution. So let me take each of our strategic priorities in turn. First is the delivery of the next-generation digitized consumer financial services. We see the dominant business challenge for this next decade, as continuing to transform Barclays to deliver products digitally. Across Barclays UK and our consumer cards and payments businesses, we will continue to invest in our digital capabilities. This is a means of delivering better products and services, more efficiently and with higher profitability. Within Barclays UK, we will continue to enable customers to transact and interact digitally. Our aim is to increase digitally-enabled customer journeys, products and services that can be completed online from 70% to 80% by the end of this year. We are also observing a steady increase in the use of more flexible and accessible ways to transact outside a branch. For example, the number of smart ATMs, we operate in the UK will go from 25 at the end of 2021 to 376 by the end of 2022. However, as we observe these trends, it remains central to our strategy that we adjust our footprint without neglecting the needs of society. We are one of the driving forces behind the current initiatives to share banking infrastructure in order to continue access to cash and access to banking. We will continue to build out more cost effective infrastructure, significantly increasing our utilization of cloud computing. This will have meaningful benefits for our cost base. We will utilize consumer data more effectively. And by doing so we can better understand customers' needs, build a more competitive offering and simplify our products and services. And we will look to reduce the number of products we offer by around one-third over the next four years, targeting gains in service quality, simplicity and efficiency. We also aim to continue to realize value in our payments platform, including the synergies with the banking franchises across our group. We have a significant opportunity to grow our payments business. We have around 350,000 payment service relationships with UK SMEs, but over one million business banking customers. So we have the ability to grow this cohort. As Barclays owns its own merchant acquiring operation, we have a much more integrated relationship with corporates in the UK and Europe. This gives us the ability to scale up our e-commerce offering, which is a very fast-growing part of the payments complex. Having had a relatively conservative posture during the pandemic, we think now is a good time to build unsecured consumer lending in both the UK and the US. We intend to drive this growth through corporate partnerships particularly in the US, which is the biggest global credit card market. The prime example of this is our relationship with GAAP, which will commence in Q2 of this year. This partnership will not only enable us to diversify our US card offerings into retail from airlines, which will also broaden our product suite with the introduction of white label stock parts. We also have a significant portion of sales finance partnerships in regulated installment lending. This includes our partnership with recognizable brands like Apple in the UK and Amazon in the UK and Germany, both of which we intend to grow. In the CIB, we want to deliver sustainable growth and returns, improving our ability to serve clients across our markets as the capital markets themselves expand. This growth in the private and public capital market is at the core of our strategy. We are the sixth ranked Global Investment Bank and the top ranked non-US player. This provides us with a strong foundation, on which to continue to capitalize on the structural trend and to build a more diversified business. Over the past three years, we have improved our ranking, benefiting from the investments, which we have made in our people and technology. At the same time, some of our European peers have been exiting capital markets businesses. We have benefited from the high levels of client and market activity during the pandemic and while we recognize that the capital markets business is cyclical, the franchise is well-positioned to benefit during periods of heightened volatility. We see opportunities therefore to sustain and grow our share of industry people, helping to protect earnings during weaker periods in the cycle and delivering stronger returns. To that end, we have taken steps to diversify our income across the corporate and investment bank. For example you have heard us talk previously about investing in talent, to grow our equity capital markets business and expanding our banking coverage in sectors like technology. As a result our global ECM fee share has grown 70 basis points since 2018. Similarly our global technology fee share has grown 50 basis points since 2018. In Global Markets you've heard us talk about the growth in our brand business. In three years our client balances have grown by some 50%. This is a testament to our focus on strengthening and broadening our client offering and the strategic investments, which we have made in our platforms. Reflecting the growth we have seen in key areas of our franchise, I was delighted to see Barclays win two awards last week. First Risk Magazine named as Prime Broker of the Year; and second IFRS named us as the Equity Derivatives House of year. Overall financing income at Barclays has grown by approximately 40% since 2018 and this provides more stable annuity tax income smoothing our income mix across the Global Markets businesses. In the corporate bank, we have been working to improve our returns for several years, focusing on deepening our client relationships and broadening our product capabilities. Here too we have divested -- we have invested to diversify our income stream. It has success growing the number of clients we have in Europe and growing fee-based income in Transaction Banking totaled 7% year-on-year to around £600 million. Our third strategic priority is to capture opportunities and help our clients as the world's transition to a lower carbon economy. As this fundamental reorganization of the global economy takes place, affecting every business in every sector, Barclays is positioned to benefit from playing a constructive role. This means being the trusted partner for our customers and clients as they transition, advising and supporting them to adapt their business models, and impact their individual lifestyle. It requires us to support our clients from governments and global corporations to SMEs as they adapt to meet their businesses more sustainable. We are already using our balance sheet, investment banking, and capital markets expertise to help deliver this advice and finance. For example we have facilitated £62 billion of green finance since 2018 through landmark deals. This includes serving as a joint lead on seven out of eight inaugural green bonds issued by European sovereign since 2017. However, there is much more we can do to take advantage of the market opportunity. We are continuing to expand our sustainable finance offering through our special teams and we are integrating sustainability across our service offerings. We will continue to innovate to develop banking products that help consumers and small businesses make greener choices. For example in 2018 Barclays was one of the first major UK bank to launch a green mortgage products. To-date, we have completed over £1 billion in green home mortgages and we have recently launched a green mortgage product. We also keep investing -- we will keep investing our own equity capital in the young companies that are investing in low emission -- low carbon emissions technology of tomorrow. Our focus on climate is an example and a clear demonstration of our purpose and values. These were enshrined over 300 years ago by our quicker founders and they include integrity, community, and stewardship. We've made significant progress against our environmental social and governance agenda in 2021, underpinned by this purpose. This agenda will continue to be a major focus for Barclays in 2022 including offering shareholders a say on climate at this year's Annual General Meeting. Finally, let me talk briefly about our pillars of capital management. As 2021 has proven the group is able to generate meaningful organic capital from earnings, achieving a greater than 10% return on tangible equity consistently would translate to about 150 basis points of annual capital ratio accretion. This capital can then be used to do three things. First, to return an attractive amount to shareholders, which I trust remains a key priority for me for our management team and our Board; second, to invest for growth targeting demand-led and capital-light opportunities to drive higher returns; and finally, maintaining a strong capital position which is the foundation of our 13% to 14% CET1 ratio target range. I will shortly hand over to Tushar to take you through our numbers. But let me close by saying how pleased I am with our performance this year. Our strategy is delivering, we set our key priorities strategically, and I'm excited about the sustainable cost to growth for Barclays. I am confident that this positions us to be able to deliver greater than 10% RoTE on a consistent basis. And before I end, I want to express my gratitude on behalf of all my colleagues at the bank to Tushar Morzaria for eight-plus years of outstanding service to Barclays as our Group Finance Director. In his first year in the job in 2013, we had reported a PBT of £2.9 billion and RoTE of 1.2% and a CET1 ratio of 9.1% after a £6 billion rights issue. Look how different we are now. This cleaner leaner profitable Barclays today owes much to Tushar's broad vision and deep execution capability. I have personally known Tushar for over 1.5 decades and have always valued his counsel and friendship. I'm reconciling myself to his wanting to change, but I'm delighted he will stay on at Barclays as Chairman of our Financial Institutions Group in Denverton Bank and build value to our clients and to us. It is testament to Tushar vision and leadership that he identified and prepared and Anna Cross to be his successor. I've worked closely with Anna for six years and I'm delighted that she is our new Group Finance Director. She is intimately familiar with the strategy of the bank and all aspects of our financials, having been Controller of Padang as well as CFO of our retail operations. Anna has moved from the distinguished Scottish tradition in Global Banking and she will steward our finances and strategy with prudent, diligence, discipline and rigor. So thank you Tushar for everything. Welcome Anna and congratulations and over to you Tushar, for your valedictory address.
Tushar Morzaria: Thanks, Venkat. While it may be the right time for me to be moving on, I can't think of a better team in both you and Anna to be stewarding and driving Barclays forward for many years to come. Moving on to the numbers. As usual, I'll start with a summary of our full year performance and then go into more detail on Q4. Through the year, the strength of the CIB has continued to offset the effects of the pandemic on our consumer businesses, which we're now seeing initial signs of recovery. Overall, income was up 1% year-on-year, despite an 8% weakening in the average US dollar exchange rate. Costs increased by £0.6 billion to £14.4 billion and I'll say more on the cost trajectory shortly. Following an impairment charge of £4.8 billion in 2020, we had a net release of £0.7 billion for the year. However, we maintained strong coverage ratios in line with or higher than pre-pandemic levels in key portfolios. This resulted in a PBT of £8.4 billion, a significant increase on the 2020 profit of £3.1 billion. The EPS was 37.5p and we generated an RoTE of 13.4%. TNAV increased by 23p over the year to reach 292p. Our capital generation has put us in a position to pay a full year dividend of 4p per share, making 6p in total for the year and launched a further share buyback of up to £1 billion following on from the £500 million buyback executed in the second half of 2021. That takes total capital return to 15p per share equivalent in relation to 2021 and of course we also completed a £700 million buyback in April in relation to 2020. We ended the year at a 15.1% CET1 ratio or 14.8% adjusted for the announced buyback, well above our target range of 13% to 14%. A few words on income costs and impairment trends before I look at Q4. We mentioned the benefit of diversification throughout the pandemic and we again delivered resilient income -- group income performance in 2021, up 1% on 2020 despite the US dollar headwind, reported a 3% increase in BUK income with growth in mortgages and non-recurrence of COVID-related customer support actions, partially offset by lower unsecured lending balances. CCP income was down 3% year-on-year, reflecting lower average US card balances increased customer acquisition costs and the weaker US dollar. But income from payments in the private bank increased year-on-year. CIB income was down just 1% on the very strong 2020 print despite the dollar headwind with the strength in the fee businesses and equities offsetting weaker fixed performance. We summarize here some of the trends that are driving income across the lending businesses, which underpin our confidence in income growth going forward. We have a continuing tailwind in secured lending volumes in the UK, adding almost 10 billion in mortgage balances year-on-year. While unsecured lending, we have been consistently cautious throughout 2020 and 2021, but we are now seeing the first signs of recovery and are optimistic about the prospects of a return to balanced growth. The rising rate environment is a significant positive for us, through the effect of higher longer rates on the role of the structural hedge, in addition to the effect on deposit margins of recent base rate rises and potential further increases. The table on the right of the slide shows an illustrative example for a 25 basis point parallel shift upwards in the current yield curve and the movement in the yield curve means that we now expect the role of the stock hedge to be a tailwind in 2022. Just to remind you that the income benefit from a 25 basis point increase in rates is spread across the group with around two-third now expected to benefit Barclays UK. Looking now at costs. Risk costs, which excludes structural cost actions and performance costs were flat at £12 billion for 2021 in line with our previous guidance. Overall costs increased by £0.6 billion to £14.4 billion as a result of the increase of £0.3 billion in structural cost actions and £0.2 billion in performance costs. Looking past the structural costs, the full year total of £0.6 billion included the real estate charge we took in Q2 and £0.3 billion in Q4 largely related to the transformation spend in the UK, which we flagged at Q3 and which will start to bring savings from 2023. We will evaluate further structural cost actions for the current year but I wouldn't expect to charge as large as 2021. We did face some inflation on costs but we expect only a modest increase in base costs from the level of £12 billion, while continuing to make investments funded from cost efficiencies. It's too early to give overall cost guidance but I'm broadly comfortable with where the cost consensus currently is in the £14.3 billion to £14.4 billion range. Moving on to impairment. We reported a net release for the group of £0.7 billion for the year with a charging CCP more than offset by net releases in the UK and CIB. This compares to the charge of £4.8 billion taken in 2020. On the right you can see that the 2020 charge comprised roughly half stage three impairment on loans in default and half Stage 1 and Stage 2 impairments. In 2021 we had a charge of £0.7 billion in Stage 3 impairment with a release of £1.3 billion on Stage 1 and Stage 2 balances, as macroeconomic forecasts have proved less severe than when the 2020 provision was taken. And there has been a sizable paydown in unsecured balances. We've included in the appendix an updated slide on the macroeconomic variables and post model adjustments and you'll note that we're still holding a £1.5 billion in management adjustments. So I think the best way to think about our current impairment provisionally is by looking at coverage ratios which are shown on the next slide. Despite the release in 2021, we still have strong coverage ratios. Here we want to focus on is the coverage of the unsecured book. Here the overall coverage ratio is still 8.8% above the pre-pandemic level and coverage on Stage 2 balances, most of which are not past due is still 30% compared to the end 2019 level of 18.7%. Within this, coverage ratio for credit cards are still higher than the unsecured average with 30- and 90-day arrears figures are well down year-on-year. With these levels of coverage and the expected modest organic growth in unsecured balances, we expect the quarterly impairment charge to remain below historical pre-pandemic levels in the coming quarters. Turning now to Q4 performance. Income was up 4% year-on-year to £5.2 billion with growth in BUK and CCB and CIB income stable. Costs were down 3% year-on-year delivering positive jaws. We had a small impairment release compared to a charge of £0.5 billion for Q4 2020. As a result profit before tax was £1.5 billion for Q4, up from £0.6 billion in the previous year. The attributable profit for the quarter was £1.1 billion, generating an EPS of 6.6 pence and an RoTE of 9.3%. I would remind you again that these are all statutory numbers and take into account a litigation and conduct charge of £46 million. TNAV per share increased by £0.05 to 292 pence in the quarter reflecting the 6.6 pence of EPS. Looking now at the business results for Q4 in more detail, starting with BUK. Income increased 4% year-on-year while the continuing strong – with the continuing strong performance in mortgages. Balances again grew with a net increase of £0.7 billion in Q4 making total mortgage book growth of almost £10 billion year-on-year. The mortgage market is always very competitive, although there are some signs of pricing firming up. As showed on the earlier slide, credit card balances were broadly flat in Q3 at £9.5 billion but still down 15% on the end of 2020 and 40% on 2019. Although Omicron-related restrictions dampened spending in December and January, we now expect the spend recovery to generate some growth in unsecured lending balances through the rest of the year. NIM for the quarter was 249 basis points flat on Q3, but we expect improvement in NIM during the current year on the back of rate rises. The extent of this improvement will depend on the timing and number of rate rises and the long end of the curve as well as product mix and pricing. There are a lot of variables, but at this stage we're guiding to a NIM for 2022 in the range of 260 basis points to 270 basis points. That's using an assumption that the UK base rate reached 1% by the end of the year although you'll note the futures market is currently pricing in higher rates. Increase in non-interest income compared to Q3 or £50 million reflected higher debt sales. Cost increased 5% reflecting £196 million of structural cost actions designed to deliver efficiency savings over time a significant increase on Q4 2020. We expect the main savings from these measures to start coming in from 2023 with an impairment release for the quarter of £59 million compared to the charge of £0.2 billion for Q4 2020. The coverage ratio particularly in cards look strong as I mentioned earlier. Customer deposits increased by further £4 billion in the quarter and the RoTE was 16.8%. Turning now to Barclays International. BI income increased 1% year-on-year to £3.5 billion while costs were marginally down. Impairment charge was £23 million resulting in an RoTE of 10.4%. I'll go into more detail on the next two slides beginning with the CIB. Income is broadly flat demonstrating the benefit of diversification within the CIB with a weaker performance in markets largely offset by growth in the investment banking fees. Q4 costs decreased by 7% delivering positive jaws and a cost income ratio of 65%. As I mentioned in previous quarters the increase in the variable compensation accrual was skewed towards Q1 in 2021 in line with performance. There was a £73 million net impairment release compared to a small charge for 2020. Overall the CIB generated minority for the quarter of 10.2%. Looking at the income in a bit more detail. Global markets decreased 23% overall in sterling. Both FICC and equities were down but equities by just 8% and prime balances continue to grow. Overall given the performance through the year and the investments made in various areas we remain positive about the development of our markets franchises. Investment banking fees reached a record level for the fourth quarter at £956 million up 27% year-on-year. We saw strong increases across all three fee lines with Equity Capital Markets one of the areas we've invested in the standout performer. I'm not going to make any specific comment on January trading, but I would observe that while volatile markets may affect the timing of primary deal flows they may be favorable for secondary markets businesses. Corporate lending income was down slightly at £176 million with loan demand remaining muted. Transaction Banking on the other hand was up 32% at £453 million. Turning now to consumer cards and payments. Income in CCP increased 4% to £0.9 billion reflecting growth in payments and the private bank partially offset by lower income from US cards. New cards saw continuing recovery in balances adding £1.1 billion in the quarter to reach £22.2 billion. That's 6% growth year-on-year and 5% growth on Q3. However the income effect is dampened by the J-curve investment in that balance growth particularly on customer acquisition and in the particularly on customer acquisition in the green portfolios like American Airlines and JetBlue. We're still experiencing high payment rates in line with the market, but we are confident of levering balance revenue growth in 2022 both organically and with the acquisition of the GAAP portfolio which comes towards the end of Q2 with the factors currently expected to be around $3.5 billion. Payments income was up 29% year-on-year and close to the Q3 level despite Omicron-related restrictions in December. Private Bank income increased 15% year-on-year as client balances continue to grow. Investment and higher marketing spend was reflected in an increase of 13% in CCC costs. The impairment charge was £96 million well down year-on-year and the RoTE was 11.7%. Turning now to head office. The negative income of £49 million was a bit better than the £75 million underlying run rate I've mentioned before. Cost of £155 million were higher than our usual run rate and including some further costs related to discontinued software assets. These are included in our base costs rather than called out structural cost actions. Loss before tax for the quarter was £198 million. Before I move on to capital a quick summary of our liquidity and funding on the next slide. We remain highly liquid and well funded with a liquidity coverage ratio of 168% and a loan-to-deposit ratio of 70%. Moving on to capital. The CET1 ratio ended the year at 15.1% well-above our target range of 13% to 14%. During the quarter, the ratio declined slightly from 15.4% with profits broadly offset by the expected RWA growth, which we flagged at the Q3 results. However, across the year the ratio was flat despite £1 billion of dividends paid in accrued and £1.2 billion for the share buybacks executed during the year, a total of 72 basis points return on capital. Going forward, the organic capital generation from profits in 2021 is a good illustration of our ability to return capital to shareholders and we've announced a further buyback of up to £1billion to follow these results. We've shown the effect of this proposed buyback and the Q1 regulatory headwinds on the next slide. And our buyback will reduce the year-end ratio of 15.1% about 30 basis points. We've previously identified various regulatory changes coming in this quarter most notably the reversal of the software amortization benefit of 35 basis points. In total, these are expected to have an effect of 80 basis points similar to what we showed in Q3. That will take the ratio to around the top end of our target range. With these changes behind us, I wouldn't expect to be calling out further material regulatory headwinds over the next couple of years. Looking further out, we are mindful of the eventual introduction of Basel III.1. We will await more details on implementation including climbing but our best estimate currently is that this could add 5% to 10% of group RWAs at the point of implementation based on the 2021 level. And we'll be monitoring closely to what extent the aspect will be partially mitigated by changes in Pillar 2A requirement for care by the Bank of England. We will stack Basel changes into our usage of capital as we are closer to the implementation but I think this is very manageable. I'm not going to forecast the site flat part of the capital ratio from quarter-to-quarter. But going forward, we are confident that the balance between profitability and investment in growth will leave us with net capital generation to support attractive distributions to shareholders over time and be comfortably within our CET1 target range. As I've said before, the Board considers capital distributions regularly through the year. It isn't just a matter for an annual discussion as you saw in 2021. That target range gives us appropriate headroom above our MDA hurdle, which is currently 11.1%. The chart shows how the MDA hurdle is expected to evolve for the countercyclical buffer increases indicated by the Bank of England to reach 11.6% by year-end and potentially 12.1% in Q2 2023. As we've, obviously, taken this into account -- we have obviously taken this into account in setting our target range. Finally on leverage, our year-end spot leverage ratio was 5.3% similar to the end of 2020 and the average UK leverage was 4.9%. Before concluding, I just want to say a few words about the flight path for our ROTE. We're delighted to have hit our ROTE target of over 10% in 2021, but we are conscious of the 13.4% benefits from a net impairment release so it's understandable that the market wants to assess how sustainable a double-digit ROTE is. I'm not going to give an ROTE forecast for 2022, but I wanted to talk through some of the factors that give us confidence, it is achievable as we pursue the strategic priorities Venkat referenced. On the left-hand side, we've adjusted the reported return to eliminate some of the -- some of the effects of low impairments. We do this in a number of ways, but this illustration reverses out the macroeconomic release or modeled impairments. Together with removing the effect of the 2021 deferred tax asset remeasurement in the UK this has moved the ROTE to around 10%. Looking forward over the next couple of years, we have some identified tailwinds and headwinds. On the income front, we expect a significant tailwind from rate rises plus on recovery and unsecured balances and growth in payments income including transaction banking. Among headwinds, I've called out some further increase in impairments as balances recover. But as I mentioned, we expect the charge to remain below pre-pandemic levels for some time. On the tax front, there will be a negative from the UK DTA remeasurement in Q1, reflecting the reduction in the bank tax surcharge from 2023. Longer term there's a slight increase in the UK tax rate for banks from 2023, but the position on potential increases in US tax rates is now less clear. Other factors to consider are the cost trajectory and the direction of CIB income and performance costs. We can influence the cost trajectory according to the environment and our priorities and particularly, the extent to which cost efficiencies are invested in growth initiatives and the level of any further structural cost spend. Investment Bank performance is hard to forecast. The market consensus saw some reduction in income more like this year. However, there are positive structural trends from the size of capital markets and we have made progress in strengthening our franchise in a number of areas such as equity prime and securitized products. So overall, we feel we are well positioned to achieve double-digit returns on a sustainable basis. To recap, reported statuary earnings per share of £0.375 for 2021 and generated a 13.4% RoTE. And we're focused on delivering our target of double-digit RoTE on a sustainable basis going forward. We're seeing some recovery in lead indicators for consumer income and believe our diversified income streams position us well to benefit from the economic recovery and rising interest rates, reported an impairment release of £0.7 billion, but maintained strong coverage ratios and we expect the run rate for impairment to be below the pre-pandemic levels over the coming quarters. We've delivered costs in line with guidance for 2021 although base costs for 2020 are expected to be modestly higher as a result of inflationary pressure plus remain a critical focus and we will be disciplined on performance costs and on the extent of further structural cost actions. We executed two buybacks totaling £1.2 billion during 2021 have announced a further buyback of up to £1 billion with these results in addition to the total dividend of £0.06 per share. Our capital ratio is strong and remained confident of delivering attractive capital returns to shareholders, while also investing for future growth. Thank you, and we'll now take your questions. And as usual, I'd ask that you limit yourself to two per person so we get a chance to get around to everyone.
Operator: [Operator Instructions]  Your first telephone question today is from Omar Keenan from Credit Suisse. Omar, please go ahead. Your line is now open.
Omar Keenan: Good morning. Thanks very much for the presentation and taking the questions. And I also want to say, my thanks to Tushar for all the guidance and wish you the best of luck for the future. I've got two questions please. Firstly, on Barclays U.K. NIM. I guess some of the key sensitivities for the 260 to 270 basis points is around deposit beta assumptions and mortgage margins. And you said you're assuming a base rate of 1% and the market is expecting something higher than that. Could you help us think about what assumptions do you have on deposit pass-through for these rate hikes and how it compares to the sensitivity figure that you've given us? And I appreciate your comments that mortgage pricing has firmed in the past couple of weeks. But could you also help us think about what sort of churn assumptions you're making in the 260 to 270. So just a bit of color around what the key assumptions are behind that. And then my second question is on the return on tangible equity target. Thank you very much for the latter. I guess the piece that might be missing is as you said a further normalization of loan losses from here and thinking around when the cost income target of 60% might be met. Obviously, it's very revenue dependent. But could you help us think a little bit more about the path towards the 60% cost income ratio? Thank you.
Tushar Morzaria: Yes. Thanks Omar, and I appreciate your comments. I look forward to probably seeing some of you next week anyway. But why don't I take both of those questions and Venkat may want to add some comments as I go along. On the U.K. NIM, I think your questions were how do we think about deposit data and churn -- mortgage churn. So deposit data for us obviously you've seen how we've repriced our deposits for the first two rate rises that we have seen, and obviously, being relatively muted repricing so a very significant pass-through assumption. We've given out sensitivity for a further two-rate or a further 50 basis points of increasing base rates. Our sense is that it still be relatively high levels of -- or low levels of deposit beta. In other words, sort of, we capture a lot of that rate rise. I won't throw out specific numbers, but I would say that I think as you get higher rates, the chances are that you probably proportionately start capturing less and less of a subsequent rate rise that's come through. It's very hard to be very sort of precise on this, because we've never -- we haven't really got any empirical data of anything like this historically, where we started from such a low base and rates sort of rising relatively quickly. And on top of which, obviously, the U.K. banking system has an awful lot of cash on deposits. So -- but I think for the local sort of movements in the first or the next sort of two base rate rises or 50 basis points, we should be able to capture a reasonable amount of the pass-through, but we'll see. On mortgage churn, the way I think about mortgage churn, just let me get our definitions right is, it's really on the flow. So in other words every product that comes for refinancing that's on our back book so, let's say, a two-year fixed rate product that comes to refinancing what rate are we refinancing that into. I do think at current pricing levels that probably will go negative, for now. It's really, really hard to be that precise further out, because you've seen how frequently, I think, the large lenders have been repricing their mortgage rates and obviously, with movements in the swap curves that's been quite active. So, although, I'd say near term pressures or negative churn on the flow of sort of cannibalizing front book production, if you like, beyond that it's a little bit hard to tell. But, by and large, I think, what we're really trying to say is that, we're reasonably optimistic in what -- at least, what the current assumptions that we have around rate rises and what that will do to our income trends and hopefully you see that in our NIM guidance. In terms of return on tangible equity, normalization of loan losses, just to remind folks briefly, I'm sure you sort of got this from our scripted comments. But although, we're not giving out a loan loss rate at the moment, sufficient to say that, we would expect impairment charges to be quite a bit below pre-pandemic levels, really as a function of a very benign credit environment. You can see that in our delinquency data. You can see that in sort of the macroeconomic environment as well -- and as well as a lower unsecured balance rate than we had pre-pandemic. Cost-income ratio, Omar, I mean, you're right it is much a function of revenues as it is costs. We've talked about costs being in line with where current consensus is for 2022. We're quite optimistic on consumer income, CIB income a little bit harder to be sort of precise in the forecast. But, again, we think we're well positioned generally speaking as that business develops. So I'd also say that, for us, 10% is our sort of guiding North Star. We reached a 10% return on a statutory basis this year. And our objective is to try and do that every year and I think, as we sort of do that in subsequent years you'll see the cost-income ratio just naturally glide down towards that 60% or better. But thanks for your question Omar. 
Omar Keenan: Thank you very much.
C.S. Venkatakrishnan: Could we go to the next question, please, operator?
Operator: Our next question comes from Ed Firth from KBW. Please proceed with your question.
Ed Firth: Yes. Thanks very much. Good morning, everybody.
C.S. Venkatakrishnan: Hi, Ed.
Ed Firth: I have two. Good morning. Yes, the first one was around CIB revenue outlook. And I seem to remember there was a lot of speculation in the press, the January time that you've taken a big one-off hit on a particular transaction. I'm not particularly worried about the details of the transaction, but I just wondered, can you give us some sort of idea of the quantum of that in terms of the Q4 numbers? And I guess, more importantly, looking forward, other than that, is there anything particular about your business this year, which would mean that going forward, you would perform any different than what we're seeing from the market as a whole? I mean, all the U.S. banks are giving us sort of reasonable to guidance in terms of how the market is operating into Q1. So, I guess, that would be my first question. Did you have the second question at the same time, or do you want to answer…
Tushar Morzaria: Yes, do you want to give a split of them and we'll try and to move together.
Ed Firth: Yes, sure. Yes. And the second question was about credit quality. I hear what you say about credit, but if I look at your Stage 3 balances in Q3 -- Q4 versus Q3, they were up quite markedly in BUK and up quite markedly in international, which sort of surprised me if I'm reading those correctly. And I guess, the question there is – it's very easy as a bank analyst each time, we hear about another 25 basis points of interest rate rise we have shove in another 200 million, 300 million of revenue. But I guess, the reason for these rate rises is ultimately to slow the economy. And I wonder, what sort of work you've done internally about at what level do you start to feel that rates would be the sort of headwind, where you'll start to see credit issues coming through in your book? If that's okay. Thanks.
Tushar Morzaria: Yeah. Thanks, Ed. What I'll ask maybe, Venkat to talk a bit about the CIB revenue and the item that you referred to? And maybe, I'll come back to credit quality. And Venkat, may want to add some comments there as well?
C.S. Venkatakrishnan: Sure. Thanks, Ed. I think our CIB both in our markets and banking businesses has been making strong and steady progress over the last few years. We have a sixth-ranked markets business. We've got a fifth ranked banking business. Markets business has gone from eight to six approximately in three years, and the markets business that the market business for banking has also improved over the last year. And this is with steadily accreting market share. Now in that context, you will see some strong quarters and some quarters, which are slightly weaker. What I would say is on that specific item that part of the strength of our business is now the greater coordination and large transactions, which we do between banking and markets. The vast majority of these transactions are very profitable to us, and very helpful to the clients in managing their risk and getting the profile that, they want the return profile that they want. Occasionally, one of these things does not work out quite as planned. We don't like it when that happens and we learn from it, and we move on, but I wouldn't read anything particular into this. And I have great confidence in the continuing trend of strong performance in the CIB both in banking and markets and accretion of market share.
Tushar Morzaria: Thanks, Venkat. On your second question in terms of at what point do we start getting concerned about credit quality as rates rise. I'll make a few points there. At the outset, before we optimize any lending decision, at least particularly on the consumer side obviously, we do this in much more detail on the corporate side on the name-by-name basis. But sitting on the consumer side, we do stress for affordability at the very outset. To give you a sense for mortgages, we would stress customers to 6% mortgage rates, where we feel, it's prudent to be extending the mortgage that gives you a sense of sort of how we think about where that should go. The other thing, I'd say is, just in the consumer book, obviously, it is dominated at the moment by our mortgage business, which is predominantly fixed. It's just the nature of the UK market. So there is obviously rate sensitivity to customers from there, but it's the point of refinancing rather than sort of instantaneous transmission. The final two things, I'd say is, we are seeing relatively low levels of indebtedness generally. So we aren't seeing customers at this stage exhibiting real stress in any sort of meaningful way. The one thing, I would say though, in terms of for your own work when you're looking at – at what point could this be more of an issue it will be – I think always unemployment is probably the best lead indicator. So as unemployment starts trending up particularly above perhaps, where most people would expect to be a sort of regular level of sort of residual unemployment at that point, you'll see credit quality change and that's the best lead indicator. At the moment, we feel some way away from that, unemployment, at extremely low levels both in the US and in the UK. So we're not concerned at the moment that's probably the one that, we watch closely.
C.S. Venkatakrishnan: Yeah. And I'll add to that, that I think we are at a stage in the economic cycle and the credit cycle, particularly where buildup of balance is more beneficial to us from an income point of view and hurtful to us from a credit point of view. So I don't see – I see that that marginal trade-off of balance that being beneficial to us.
Ed Firth: Okay. And sorry, just in terms of the Stage 3 balances, is that just something to do with how you add them up at the year-end or something or why would that be?
Tushar Morzaria: Yeah. I mean, we should probably maybe have – maybe after this call rather than sort of go to just looking at the quarter-on-quarter Stage 3, and they're slightly down but you may be referencing a different table. So perhaps, we can give you a quick call after this one just to make sure we synced up.
Ed Firth: Okay. Thanks.
Tushar Morzaria: Could we have the next question please operator?
Operator: Our next question comes from Jason Napier from UBS. Your line is now open. Please proceed with your question.
Jason Napier: Good morning. Thank you for taking my questions and congratulations to you Tushar as well as to Venkat and Ana. And just to echo what Omar was saying thank you for the hard work and help over the years and trying to make sense of all things financial. Two questions. The first please, I guess, perhaps Venkat and for Tushar, the 10% RoTE target is around 160 basis points of CET1. And so when we're thinking about how the 10% RoTE and 150 basis points of capital accretion fit together, I wonder whether you might talk a little bit about what sort of normal RWA growth or consumption the group might demand? And Venkat particularly, whether you saw any changes to the composition of the group in the coming years. So, that will be the first question. And then secondly I hear what you're saying about the customer acquisition costs in CC&P. That's something we're hearing from US players quite clearly. Some of the offers in the market are pretty attractive. But there is something you've warned on before. And so I just wondered whether you're signaling that consensus is not listening. At this stage, we're at £3.7 billion for 2022 so up 13%. I would have thought with balances growing 5% last quarter in the GAAP portfolio coming on stream that would have been a number that you could achieve, but perhaps you could be more clear about what it is you're saying about CC&P and those headwinds as we go through this year. Thank you.
Tushar Morzaria: Yes. Thanks Jason and thanks for your comments at the beginning of your question. Why don't I just cover them both real brief and I think Venkat want to make a couple of comments as well. Yes, the RoTE I mean we sort of just rounded it to 150 basis points of capital generation. We weren't trying to be super precise. In terms of the list of your question is just how much of that gets absorbed by, I guess, growing our balance sheet or putting capital back into the businesses, I think what you'll see is that the consumer businesses recover we would very much like to grow consumer assets both in non-secured mortgages in US cards as well as in the UK. Those aren't particularly capital-consumptive assets though. So, I don't think you'll see much RWA if you like inflation as a consequence of growing the consumer side of the balance sheet. That then leaves the investment bank. The Emerson Bank would just be more nimble there. You've seen RWAs have gone up slightly over the course of this year. It's been a pretty decent environment with super active capital markets as well as sales and trading. So, that may ebb and flow a bit. But I don't think you'll see sort of material differences in even in the CIB side to the upside, but Venkat may want to talk a bit more about sort of how we see this business composition over the more medium term. Just a quick word on customer acquisition costs in CCP and I'll hand over to Venkat. Yes, you're right to point out -- I mean I think this is a positive lead indicator. So, what's really important for us is there's sort of three stages to us. First of all the people wanting your card so in other words the people opening new accounts with you. When we look in the US, account openings are going really well. And I think pre-pandemic levels and sometimes better in some portfolios. So, that's good. People want our card. They're going out and getting our card for the first time. Second thing are they using our card? When I look at spend data and sort of gross purchase volume they're very much in line with most of our US peers when I look at the sort of industry averages. And again that feels really good for us. because we are more of a partnership business and we're competing with a lot of open market brands. So, to see our purchase volume very consistent with them is great news. And the third thing is at what point your balance is growing people revolve. And you've seen balanced growth now and I'm pretty confident that will result in revolving balances growing as well as we get into next year. So, overall, I think we're pretty constructive in the US cards business growth. And really the increase in sort of customer acquisition costs which by the way does hit all three line items of our P&L. You'll see some in contra revenue as we sort of give a rewards out when people first start using our cards. You see it in the marketing line in our expense line and obviously you see impairment builds as balances and new lines are allocated. So, you'll see sort of scatter through our P&L. But that to me is a very positive lead indicator and that all feels in the right place. Venkat anything you want to add?
C.S. Venkatakrishnan: Yes. Look obviously endorse what Tushar has said, I think overall business mix as Tushar has indicated we would like to see more balanced growth and the modest capital consumption that goes with it from the consumer side especially in cards. On that -- on cards in particular we like the onboarding of our accounts with GAAP and AARP. They diversified the portfolio which has been travel heavy etch portfolio and so it brings in more retail in a different spending mix. And then on the investment banking side, we continue to have one what we've called sustainable organic growth. And I think in many ways on the market side where capital flow is nimble it's a function of where the trading volumes are which we are pretty constructive on as this quarter has begun. And we would tend to see I think growth continued in equities in securitized products. And of course, in macro there's been an active amount of volatility. And the biggest area over the last couple of years that has grown which has been rewarding to us has been prime, where that business has increased balances tremendously. There's a little capital that goes out because they are very well structured balances, but that's been a major area of increase. So the bottom line is that we believe we have the capacity to absorb what we think is the expected growth in our trading businesses and banking businesses overall. 
Jason Napier: Thanks for taking question.
Tushar Morzaria: Can we have the next question please, operator?
Operator: Our next question comes from Jonathan Pierce from Numis. Your line is now open. Please go ahead. 
Jonathan Pierce: Hello, good morning both. A couple of questions. The first one is a numbers question around equity Tier 1 in the first quarter. And I was in particular looking for some guidance on whether there's going to be an impact of the big move in the swap rates that we've seen so far this year. Your report account shows there's about GBP 500 million pretax hit on the fair value OCI for every 25 basis point move. And I guess that scales up to about GBP 1 billion pretax, based on what we've seen so far this year. But you don't split it between pensions which obviously don't hit capital and other things which do. So give us a bit of help please on any Q1 headwind that's coming from that. That would be really helpful? The second question is much broader and it's on the distribution profile dividends versus buybacks. Is it your intention to just move the ordinary dividend up over the next few years to 40% 50% of EPS, or are you going to be a bit more dynamic than that? And if the shares continue to trade at spot 6 5x book. I note your LTIP pays out in full and if the RoTE hits 12% next year so you clearly think the shares are pretty cheap. There will be a big bias towards buybacks versus ordinary dividends in the nearer term? Thanks very much.
Tushar Morzaria: Yes. Thanks Jonathan. Why don't I take both of them? On your question about CET1 headwinds from AFS I mean of course there are some headwinds there. The best way those are -- I mean there are so many things that go into the CET1 ratio with business activity tailwind headwinds etcetera. The best thing I would say is a typical profile for us would be, we are users of capital -- net users of capital in the first quarter. It tends to be a very active quarter for us be in our investment bank a lot of deal activity a lot of sales and trading opportunities. And then we tend to steadily for the net-net accrete capital over the remaining three quarters. So rather than sort of getting into the wherewithal’s of the individual components of the ratio because although it moves back up in rates may be detrimental to AFS it may be better for incoming and maybe better actually for fixed income financing spreads in the sort of things that change. But generally net uses a small amount of capital in Q1 and then generate capital from that point on which is a typical year for us. Distribution profiles we sort of -- we've guided to a progressive dividend policy. So I think it's fair to say that the assumption is all things being equal, you would expect that dividend to grow at a reasonably healthy rate from where we are today. You rightly point out that given the share price where it is today, buybacks look incredibly attractive. We absolutely do feel as we've said a number of times, we believe we're a 10% double-digit earnings bank and that's our objective to try and do that every year. That obviously isn't reflected we believe in our share price the buybacks look incredibly attractive at these levels. But the dividend is it is a progressive dividend. I'm not sure the Board would look to reset the level of dividend until perhaps the shares are at a different price point. Hope that answers your question, Jonathan. 
Jonathan Pierce: Thank you very much.
Tushar Morzaria: The next question please, operator.
Operator: Our next question comes from Joseph Dickerson from Jefferies. Your line is now open. Please go ahead.
Joseph Dickerson: Hi. Thank you for taking my questions. Just a couple of longer-run type of questions probably more for Venkat at this stage. But I guess when you look at the US CC&P business how meaningful is the business extension into adjacent businesses or the resulting revenue augmentation from that? So driving -- leveraging GAAP portfolio and whatever future score card deals you may do I guess how meaningful do you see that opportunity in the context of the group? And then related to that just coming to the near-term the costs were up 13% year-on-year in CCT. I guess how much of that is competitive landscape? And how much of that is more idiosyncratic to Barclays. And again linked back into those two points as Venkat do you feel that the group as somebody is to where the risk have do you feel that the group has taken enough risk in some of the areas in unsecured finance? 
Tushar Morzaria: So why don't I ask Venkat to add some comments on the longer term particularly the sort of the mix of plus in the US business and the risk profile as well. Let me just make some introductory comments first Joe. I'd say moving into -- or diversifying away from if you like hospitality and travel is a very big deal for us. And the GAAP portfolio does two very important things for us. One it takes us into a completely different space in terms of the partnership product. If you look really broadly speaking the overall industry wallet for partnership programs about half is in travel and hospitality and leisure and the other half is in retail and we don't have anything in sort of traditional retail. So GAAP is a big deal for us. And in terms of customers put that into context in the US GAAP will be approximately 11-odd million customers it's kind of like the number of customers we have in the United Kingdom and we are a very significant player. So adding one million customers in one shop is a very big deal for us. The other thing it does actually takes us into a brand-new product as well as a brand-new segment of the market and that's into store cards. In store cards in the US around about 40% of the market. So that's an area that we don't do anything at the moment as well. So this is a big deal for us. And we're very, very excited about being able to do this. We hope at the beginning of a change in the credit cycle. So after the pandemic and now we're into a recovery cycle we'll hopefully have a decent consumer recovery side and that's the right time to be sort of really pushing investment in this. I think in terms of the risk profile I should probably not make any comments on that. I should let our Chief Risk Officer and our Chief Executive Officer comment on both of them. Over to you, Venkat. 
C.S. Venkatakrishnan: Yes. So thanks, Joseph. I think, I echo what Tushar has said. And I think the question you had about adjacencies so there are clearly some technological adjacencies that happened with the card portfolio. I think the more meaningful adjacencies that we have capitalized on so far are actually the investment banking adjacencies. So our cards business is a corporate oriented business. So while we have millions and millions of customers actually we are dealing with a few dozen corporates. And the core relationship is the way we have to cement a much broader investment banking relationship, which has been particularly been lucrative for us and helpful to our clients. So that's a very important adjacency. I think more broadly do we take enough risk? I would say do we take the right type of risk. And I think the one type of risk we do not take particularly is our own branded cards and that's important because we don't have a broad US retail presence and we don't know the customers as well. When we take the portfolio risk in our corporate card program we are working with a lot of data and low familiarity. And as Tushar has said diversifying away from travel into both private or white label cards as well as the retail segment is actually we think risk improving for us. 
Tushar Morzaria: Thanks for your questions, Joe. 
Joseph Dickerson: Thank you.
Tushar Morzaria: Could we have the next question please operator?
Operator: Our next question comes from Alvaro Serrano from Morgan Stanley. Your line is now open. Please go ahead.
Alvaro Serrano: Hi. Good morning. I have a couple of follow-up questions really. First of all, on your NIM guidance in the UK you point out that the business mix is still a headwind. I was wondering what on the volume growth there what kind of recovery if you can be a bit more specific maybe on you're assuming on credit cards? You obviously said, you expect some growth but it sounds like it's not going to be a big rebound and how do you think that's still compared to obviously mortgage balances. And then I had another follow-up on CIB. Obviously, the pipeline in ECM, M&A had dried up quite a lot and you alluded to that, particularly in technology. You've called out the volatility and obviously, your prime brokerage balances. But I wonder you think – is that going to be enough to offset what looks like a pretty weak start to banking fees? I'm just thinking of consensus is – are legal revenues down just a bit for this year and that might prove a bit optimistic? I don't know if you can maybe share some thoughts on that. Thank you.
Tushar Morzaria: Yes. Thanks, Alvaro. Why don't I cover them both? And Venkat may want to add a couple of comments as well. On net interest margin and business mix, we are constructive on credit card growth. We have been cautious up till now. And I guess in this case unfortunately perhaps we were right that balances didn't grow as quickly as perhaps a bit more optimism out there from elsewhere. But we unfortunately, we're probably more right on this one. But we are quite optimistic into 2022. And the reason for that is, we think that 2022 ought to be a year that is free from lockdowns and sort of restraints on the economy. And the big difference that we'll make for this year is that the kind of spend that we would expect to see will be more geared towards credit card spend activity. So unfortunately, last year for example, at least in the United Kingdom, there's much less holiday travel for example than we would typically spend, certainly overseas holiday travel. That's usually completely a credit card sort of category that's very important for us. And when we – that was – it was muted last year. We would like to think that this year those kind of more discretionary spend items would be unabated and therefore, we should see good utilization of our credit cards. And the next question is how much of that then appears as revolving balances. So a little bit harder one to gauge but we are optimistic that we should see some improvement there. I wouldn't overstate it but it's a high-margin product. So you don't need to see too much for it to be very accretive to NIM and indeed net interest income. The other thing is on the mortgage side. If anything this year might suit our business mix a bit more than last year. Last year was characterized very much by sort of a first-time buyers market that was fueling the mortgage market. For us as you probably are familiar the remortgage business is an even bigger part of our business than first-time buyers. And with rates rising you tend to see much more active remortgage activity. People were just basically financing themselves before the anticipated rate rises. And that actually suits our business well. So constructive on both mortgage growth just as the nature of the market perhaps suiting us and on credit cards, the nature of the spend activity, we expect to see in the UK being quite attractive to us. In terms of CIB, the only thing I would say there Alvaro it's very, very hard to give sort of precise guidance on income so I'll refrain from that. But we feel really good about the diversification in the CIB. So you're right, it's been somewhat slower ECM, M&A activity, certainly in January. And that's in some ways not surprising. That's actually quite typical because we usually get a flurry of deal activity before the calendar year-end and then you go into company reporting season and blackout periods and stuff like that. So you don't typically see a lot of deal activity in the earlier part of the year and that may change obviously, you'll have to look at asset markets and geopolitical risk and whatever. But away from that if for example, there is price volatility and asset price moves and sort of geopolitical news flow, it typically suits sales and trading business real well. And certainly a rising rate environment, all suits the financing business very well and we're very pleased with the progress we've made in the prime business. And one business we don't talk a lot about but is fixed income financing as well, which is a large business for us. So I refrain from giving sort of precise income guidance but we feel pretty good about the diversification that we should do in our view well, regardless of sort of what's hot and what's left in any one particular quarter but we should be able to sort of see that through.
Alvaro Serrano: Sorry, Tushar, on the retail side, I mean you're optimistic on credit cards and mortgages. But do you think the mix is still a drag? So, i.e., credit cards maybe not growing as much as mortgage as yet? If I read your guidance correctly?
Tushar Morzaria: Yeah. Alvaro, on a nominal basis, I'm sure I mean focus -- I know you know this but a nominal basis, mortgage will massively outgrow cards. Card is a very much more of a higher margin product, so I wouldn't rule anything out. It really depends on the pace and strength of the recovery. We feel okay with it now, but we'll monitor it quarter-by-quarter.
Alvaro Serrano: Okay. Thank you.
Tushar Morzaria: Thanks. Can we have the next question please operator.
Operator: Our next question comes from Rohith Chandra-Rajan from Bank of America. Your line is now open. Please proceed with your question.
Rohith Chandra-Rajan: Hi, good morning. I had a couple please. The first one on the CIB. So the commitment to maintain that market position, it seems like a very clear statement of intent. As Tushar alluded to earlier, consensus expectations are for a smaller revenue pool this year but also competition looks like it's intensifying. So I wondered, if you could talk about how you balance near-term revenue prospects with the cost and capital resources that might be required to maintain that top six global IB ranking? So that's the first one. And then the second one, hopefully relatively quick. Just on the structural costs for 2022. Should we think about that as similar to 2021 excluding the real estate charge that we had in 2021? And to what degree should we think about the structural costs being ongoing?
Tushar Morzaria: Yeah. Thanks. Why don't I take the second one and I'll ask Venkat to talk about the CIB. Yeah, I think that's a reasonable way of thinking about it. So just to repeat what you said takes 2021 charges and strip out the large real estate charge that we took in the second is probably a decent sort of planning assumption. Prospectively from there, we have a lot of choice about this. I don't expect this to be at this stage a material item to be putting into our projection into 2023 and beyond. But we will -- it's something that I think what we've tried to do is keep you posted on plan as we go through the quarters. One thing I would say is that where we see opportunities to accelerate progress and make a difference and we've got the earnings capacity and the capital capacity to do that, we think it's probably in shareholders' interest. So we are minded to do that but we will keep you guys posted. But certainly for 2022, I think your planning assumption is a reasonable one. Venkat, do you want talk about CIB?
C.S. Venkatakrishnan: Yeah. So Rohith thanks for the question. I look at the CIB as a place where we've obviously been gaining market share and increasing our rankings. It comes from three things. It comes from investment in people and capabilities. It comes from investment in technology and it comes from a steady commitment to the business, which basically helps clients decide that they want to do with you, do more with you and stay doing it with you. All three have been in place to an increasing level over the last number of years. So I think we have the momentum behind us to continue to do that. And we don't control the overall wallet. But to be meaningful to our clients, I think it requires as I said those types of investments and I'm fairly confident that with the investments we've made, we can continue to make and we will continue to make that we will continue to get both mind share and market share.
Tushar Morzaria: All three questions, Rohith.
Rohith Chandra-Rajan: Thank you.
Tushar Morzaria: Can we have the next question please, operator.
Operator: Our next question comes from Guy Stebbings from BNP Paribas. Your line is now open. Please go ahead.
Guy Stebbings: Hi, good morning. Thanks Venkat and Tushar and thanks for the comment and best of luck Tushar. The first question was on NIM trajectory and primarily the UK, and given the range of 260 and 270, it strikes simple math that we should be exiting at the top of that range, and as the curve holds, is there any reason why we shouldn’t be thinking about NIM in the north of 270 as we enter 2023 and potentially has caught a bit more if we have benefit of every high implied from the market. I mean, within that tier, if I look at your hedge, it looks like it should be about 200 million in 2022 from the current run rate, and then another even largest step-up in 2023. So, is there anything that would just need you to stop expectations versus those sorts of comments? And then a second question on costs. Thanks for the guidance and comments about sort of happy with consensus cost of 14.3 to 14.4, if you just unpick that a little bit more. So firstly, modest growth in the base cost I would assume modest is about 2%. That's fair. And taking your comments on structural cost actions down to 250 million in the year. If I then had flat CIB costs, you'd be looking at about 14.4. So that's the sort of top end of that range. Is there anything I'm missing around that? If I can just quickly add another one on costs? Another year of CIB costs income ratio below 60%? Assuming revenues don't drop meaningfully in the CIB, is that something you think is achievable going forward from here? Thanks.
Tushar Morzaria: Yeah. So why don't I take that Guy. I think on net interest margin in the UK. Look I think it's reasonable what you said just the fact that if we're guiding to a sort of a range of 260, 270 we'll obviously be expecting to exit 2022 at the very sort of upper end of that. And like you say that flow through from structural hedges and full year effects of any rate rises we may get from this point on. So that will be improved into next year. So yeah, I think it's reasonable in the way you are thinking about it. Of course, there are just sort of -- we expect that there are so many variables, the number of rate rises, the product mix, pricing. So I know you will know all this, but that's why we give a sort of a range rather than trying to get too precise. But I think you're thinking about it the right way. And costs. I think it's reasonable, again, the sort of the building blocks that you use, I won't quote, whether use 2% or 3%, or whatever in your precise models. I'll let you sort of judge that. But I think the building blocks that you're using are pretty reasonable. In terms of CIB and cost income ratio, we're pretty pleased with the operating leverage that the CIB has been able to demonstrate. So we have very buoyant top line environment a lot of that sort of drops straight through to the bottom line. We feel we're very competitive in terms of remuneration to the bankers that we have here. We've attracted really high-quality folks to our platform and our retention rates have been very good as well. So we think we've got that balance right. And absolutely in a good revenue environment, our intention is to demonstrate strong operating leverage in the CIB and as we've done in the past. I won't give again precise guidance on cost income ratios, but operating leverage is always something that's important to us in that business.
Guy Stebbings: Okay. Thank you.
Tushar Morzaria: Thanks, Guy. Can we have the next question please, operator?
Operator: Our next question comes from Chris Cant from Autonomous. Your line is now open. Please go ahead.
Chris Cant: Good morning, Tushar and Venkat. Tushar, if I could just echo what others have said all the best for your future role and thanks for helping us all of the questions over the years. Two for me please on the CIB. So if I look at your performance costs I think if I think back to 2019, our total increase in group performance costs 2021 on 2019 is up £290 million. And if I think about CIB revenue over that time, they're up by £2.3 billion or there or thereabouts. So how should we be thinking about this into 2022? I appreciate you don't want to guide on revenues, you don't comment on current trading. But in recent quarters you've indicated that if revenues do come down in 2022, you would pull down CIB costs to offset it. If I think about where we have been historically, it hasn't moved up that much relative to the scale of the revenue improvement. What kind of cost income ratio and a decline in rates in revenue should we be thinking about there? Because it doesn't feel like there's a huge amount of wiggle room relative to kind of historical levels of performance costs if revenues do decline in the CIB? That would be the first question please. And secondly, instead of passing a number on CIB, could you talk about payments? So you gave this guidance at the first half stage that there was a £900 million revenue upside opportunity from the recovery of growth in the various payments businesses relative to 2020 levels. Could you just give us a sense of how much of that opportunity is already captured in your kind of 4Q run rate? So you were flagging in particular in CC&P quite a lot of growth year-over-year in payments there. But if we think about 4Q, how much of that £900 million is already in the run rate? How much of it is still to come as upside into 2022 and 2023? Thank you.
Tushar Morzaria: Yes. Thanks, Chris, and thanks for your comments at the beginning of your question. Much appreciated. Yes. Performance costs and I guess really your real question is just in a downside revenue environment, how much could we bring performance costs down. It's a tough one to answer. The one thing I'd say is, on one level we have to be responsive to the market that we're operating in. So it's, obviously, too simplistic to just be mechanical about your performance costs, because there are just so many factors that go into it. You look at the competitive nature of the marketplace. Was our underperformance idiosyncratic? Was it part of the overall trends in the industry? What did that result in overall pay levels? The mix of the business, some businesses have a higher payout ratio than other businesses and vice versa. So it's hard to be precise. But what I would say is, hopefully, you've seen us demonstrate, at least, in an upward market good discipline, but at the same time making sure that the franchise is in very good health and got the right quality of people on the platform to benefit from that upside. We would look to obviously -- for us, I guess, in some ways the guiding North Star I've always felt in this business is that, we need to kind of make sure each of our divisions is earning at least 10% return on equity. So that's sort of an interesting inflection point for us and we would do what we can to maintain that. But we got to be responsible, if we need to pay to protect our franchise, we obviously will. But you've seen us discipline in not just paying for no reason. In terms of payments, the £900 million run rate, I think, the -- in our disclosure, you should be able to pick this up. And if not, I'll get someone to give you a buzz afterwards just see you picking up on the right part of our disclosure, the payments is up about 17% year-on-year and you should be able to back into them, maybe I'll get someone after the call just to point you in the right direction as to how much of that £900 million, therefore, that's consumed. And maybe you can sort of back into the rest, if that's okay, Chris. 
Chris Cant: Okay. Sure. I can take that offline. Thanks.
C.S. Venkatakrishnan: Okay. Just that we’re getting closer to the top of the hour. So should we take one more question? We’ll have one more question, please, operator.
Operator: Thank you. The final question we have time for today comes from Martin Leitgeb from Goldman Sachs. Please go ahead. Your line is now open.
Martin Leitgeb: Good morning. Let me echo earlier comments and congratulate Venkat and Ana on the new roles and thank you Tushar for your help over the years. Just one question, please. And just looking at the progression of deposits in the U.K. system as a whole, compared to loans and the market increase and excess liquidity now trapped in retail ringfences in the U.K. I was just wondering if you could highlight your thinking on this excess liquidity do you think this is likely to stay, or could you see a scenario this is going to gradually decrease. The question here being could this in your view lead to a phase where deposit betas are markedly lower compared to where they were in history, or is there any other incentive for a bank like Barclays to potentially engage in kind of higher deposit beta maybe for current account market share purposes. Thank you.
Tushar Morzaria: Yes. I think the way I'd answer that Martin is that we've never really paid up for balances. So we don't believe we've got a much -- if you got hot money if you look at our savings rates you probably wouldn't be till choosing buckets as your sort of deposit account you were just looking for the best rates available. That's never really been a part of our business. They're much more franchise balances as we call them and they've grown quite nicely. So -- but having said that at some point these balances will become rate sensitive. Our view is we haven't seen that yet. The last time base rates peaked there were 75 basis points. We didn't see rate sensitivity then. So it's probably reasonable to assume for the next 25 basis points to 50 basis points maybe not much rate sensitivity beyond that. I think it's just harder to -- we don't have any empirical historical data to, sort of, calibrate them off. But what gives us a little bit of comfort is that we've never paid off for the balances in the first place so it's not that money people have been parking money with us and the expectation that they'll move it when they can get a better deal elsewhere. I hope that helps. But thanks for your question, Martin.
Tushar Morzaria: So why don't we wrap up the call. Before I close thank you for many of your comments as part of your questions. I'd just like to say, it's been an absolute privilege and a pleasure being a CFO here since 2013. And although it would be the last call I do at this time I hope to get to see many of you at sell-side breakfast next week and the buy-side meetings that we'll have over the next coming days. And I'll still be at Barclays for some time so we may bump into each other in a different capacity. But a big thank you to everyone for all of your debate, challenge, counsel and the other word of encouragement that I've had over the years there. Whatever you said it's been much appreciated and I mean tested all of you. I'd also like to say how thrilled I am that Anna has agreed to step into the role. Anna and I have known each other for several years and worked very closely. And hopefully many of you have met her in the recent quarters as she's been a fantastic help to me. She will be a fantastic CFO for Barclays. And with both her and Venkat at the helm someone will be owning shares in Barclays for the foreseeable future I can't think of two better people to be taking care of my shareholding in the right way. But with that why don't I hand over to Anna who's actually with me here today to close out on the call. Anna?
Anna Cross: Thanks , Tushar. And at the risk of repeating everyone, I think, a huge thank you to you from all of us. It's certainly a tough act to follow big shoes to fill, but I'm really looking forward to the opportunity. I'm also looking forward to the opportunity to meeting many of you over the next few weeks at the breakfast and beyond with Tushar and with Venkat. So with that thanks everyone and we'll close the call there.